Operator: Ladies and gentlemen, thank you for standing by. My name is Brent, and I will be your conference operator today. At this time, I would like to welcome everyone to the Q4 2021 NiSource Earnings Conference Call. [Operator Instructions]. It's now my pleasure to turn today's call over to Mr. Chris Turnure, Director of Investor Relations. Please go ahead.
Christopher Turnure: Good morning, and welcome to the NiSource Fourth Quarter 2021 Investor Call. Joining me today are Lloyd Yates, our Chief Executive Officer; Donald Brown, our Chief Financial Officer; Shawn Anderson, our Chief Strategy and Risk Officer; Pablo Vegas, our Chief Operating Officer; and Randy Hulen, our VP of Investor Relations and Treasurer.  The purpose of this presentation is to review NiSource's financial performance for the fourth quarter and full year of 2021 as well as provide an update on our operations and growth drivers. Following our prepared remarks, we'll open the call to your questions. Slides for today's call are available on nisource.com.  Before turning the call over to Lloyd, Donald and Shawn, a quick reminder. Some of the statements made during this presentation will be forward-looking. These statements are subject to risks and uncertainties that could cause actual results to differ materially from those expressed in the statements. Information concerning such risks and uncertainties is included in the MD&A section and Risk Factors sections of our periodic SEC filings.  Additionally, some of the statements made on this call relate to non-GAAP measures. For additional information on the most directly comparable GAAP measure and a reconciliation of these measures, please refer to the supplemental slides and segment information, including our full financial schedules, also available at nisource.com.  With all of that out of the way, I'd like to turn the call over to Lloyd.
Lloyd Yates: Thanks, Chris. Good morning, everyone, and thank you for joining us. Before we get started, I'd like to take a few moments to thank Joe Hamrock, my predecessor as President and CEO, for his outstanding service to NiSource. Joe retired last week as part of a long-planned transition. I'm grateful for Joe's leadership and his decade of service to this company. He left NiSource in a strong position poised for years of growth and success. We send him our best wishes as he begins the next chapter of his life.  I expect to build on the significant progress NiSource has made in the past year, including our strategic initiatives. NiSource Next, Safety Management System and Your Energy, Your Future, are transitioned to the future of energy. I want to take a step back and remind everyone of our mission, that is of NiSource being a great place to work where we are all relentlessly focused on safety, operational excellence, the customers' experience and delivering on our commitments to shareholders, as we did in 2021.  Our strategic initiatives are what will enable us to achieve our mission of being relentless champions of safety, comfort and service for our customers, and it will help set us up for long-term success. In short, these initiatives are all about people.  Our plans for investment-driven, long-term and sustainable growth remain on track. We continue to expect these plans to drive industry-leading compound growth of 7% to 9% in diluted net operating earnings per share through 2024. My experience in the past 2 years as the Board of Directors has given me unique insights for executing and extending NiSource's growth plan. I plan to conduct a review of the business with the goal of ensuring that we are best positioned to drive long-term value for all stakeholders. And I look forward to further discussing our strategic initiatives with our employees and with shareholders in the coming months.  Now let's start our discussion. Hopefully, you've all had a chance to read our fourth quarter earnings release, which we issued earlier today. As we look at NiSource results in 2021, we see strong financial and operational performance across key areas of the business. Advancing execution on our portfolio of renewable generation investments is matched by significant progress on regulatory initiatives across all our states. We are enhancing safety, providing customers with new ways to do business with us and moving forward on our plan to reduce Scope 1 greenhouse gas emissions 90% by 2030 versus 2005 levels.  Let's now turn to Slide 3 and take a closer look at our key takeaways. I mentioned earlier our CEO succession. In addition to Joe's retirement, Sondra Barbour and Cassandra Lee, joined the NiSource Board of Directors. The additions of Sondra and Cassandra further strengthened the leadership, experience, diversity and talent on the NiSource Board.  Shifting to full year 2021 results. We exceeded both our original and updated guidance ranges. We reported earnings of $1.37 non-GAAP diluted net operating earnings per share or NOEPS. We are reaffirming our 2022 guidance of $1.42 to $1.48 diluted NOEPS non-GAAP, and we are reaffirming our forecast for 7% to 9% compound annual growth rate from 2021 through 2024, including near-term annual growth of 5% to 7% through 2023.  In 2022, we expect $2.4 billion to $2.7 billion in capital expenditures as we continue to execute our core infrastructure programs and our renewable generation plans. The preferred plan from NIPSCO's 2021 Integrated Resource Plan, or IRP, advances our intention to retire all coal-fired generations between 2026 and 2028. Opportunities for additional generation investments will be better understood, and we continue to analyze the results of the proposals received in the IRP process.  We received final orders in gas rate cases in Pennsylvania, Kentucky and Maryland, which provide balanced outcomes for all stakeholders. Ohio's case continues to advance towards a third quarter implementation, and NIPSCO's gas case is in constructive settlement discussions. Another key regulatory outcome is NIPSCO's electric TDSIC order, representing $1.6 billion of investments in safety, reliability and improved customer service.  Before we get into our specific NiSource utility highlights, I'd like to take a moment to call out our safety progress in 2021. NiSource has reached important safety milestones. They include substantially completing the installation of automated shutoff valves on our low-pressure gas systems. We also expanded deployment of Picarro advanced leak detection technology. We successfully completed Stage 1 of its certification of our Safety Management System by Lloyd's Register. And we bought an additional resources to strengthen our quality management system capabilities across all of our companies. I'm excited to say we expect to issue our very first annual sales report at about the same time as our annual report. I would encourage you to read more about our progress.  Now let's take a look at some NiSource gas distribution highlights for the fourth quarter, starting on Slide 9. The Columbia Gas of Ohio rate case continues to progress on schedule. The filing request an annual revenue increase $221 million, net of the trackers being rolled into base rates, which support continued investments in safety and reliability. We received an order approving a settlement in the Columbia Gas of Kentucky rate case. The settlement supports continued investments in safety and infrastructure replacement and includes an overall increase in revenues of approximately $18 million.  In Maryland, we received a final order from the Public Service Commission. The order includes a revenue increase of approximately $2.4 million.  The Pennsylvania Public Utility Commission approved our rate case settlement as filed. It provides a revenue increase of $58.5 million, and new rates went into effect in late December. The settlement continues our program of infrastructure modernization, deploying safety and reliability.  We are engaged in constructive settlement discussions in NIPSCO's gas rate case. The case is focused on infrastructure modernization and providing safe, reliable service while remaining in compliance with state and federal nature requirements. If approved, new rates would take effect between September of this year and March of 2023.  Let's turn now to our electric operations on Slide 10. As noted earlier, NIPSCO's Electric TDSIC plan received final approval in December from the Indiana Utility Regulatory Commission, or IURC. This is a 5-year $1.6 billion program, which includes newly identified projects aimed at enhancing service and reliability for customers as well as some previously identified projects.  The other items on this slide relate to our renewable generation strategy, and I'll turn it over to Shawn Anderson to give more detail.
Shawn Anderson: Thank you, Lloyd. The preferred plan from NIPSCO's 2021 IRP confirmed the retirement of the last coal-fired generation unit at Michigan City as well as 2 vintage gas peaking units at the Schahfer Generating Station site and advance the window for these retirements to occur between 2026 and 2028. To support reliable generation when these units retire, enhancements to our portfolio will require replacement capacity from technology, including solar, stand-alone battery storage and natural gas taking resources. We estimate that the new investments of up to $750 million will be required to support the retirement of our last coal fired units.  As we evaluate the actual projects required to support these portfolio additions, we are evaluating all forms of technology, bid through the RFP process launched in May. We continue to analyze these proposals and complete due diligence on these projects available, which align with the preferred plan identified back in November.  We expect to be able to share the results of our analysis during the first half of 2022. Meanwhile, we are making steady progress on the execution and construction of renewable generation projects resulting from NIPSCO's 2018 IRP. We continue to expect to invest $2 billion in renewable generation by the end of 2023 to replace the retiring capacity at Schahfer.  Our most recent project to come online and begin operations is Indiana Crossroads I, a 302-megawatt wind facility, which entered service in December. This project joins the Rosewater and Jordan Creek wind farms already operational and contributing to NIPSCO's power generation fleet across 2021.  Meanwhile, we expect 4 additional projects to be in service by the end of this year. They are Dunns Bridge Solar I, Indiana Crossroads Solar, Brickyard Solar and Greensboro Solar. These projects will represent our first solar facilities, while the Greensboro project is our first project, which also includes storage. We expect the final 7 renewable generation projects needed to replace the retiring capacity of Schahfer to come online in 2023.  Our project and commercial teams continue to work tirelessly alongside our project partners to advance these projects as initially intended. As this work continues, we remain in close contact with some of the strongest developers in the renewable energy space regarding the progress of these projects and are actively monitoring any potential delays associated with the construction process, including the dynamic nature of the global supply chain.  NiSource also continues to engage with producers and developers focused on renewable natural gas, hydrogen and emerging storage technologies. We continue to support the advancement of these technologies and fuels to support accelerated and deeper decarbonization solutions, leveraging existing assets such as the natural gas system. We seek a risk-informed understanding of the options and technologies, which may emerge as pathways towards further decarbonization and are encouraged on how our communities and service territory could benefit from the development of these technologies.  Now I'd like to turn the call over to Donald, who will discuss our 2021 financial performance in more detail.
Donald Brown: Thanks, Shawn, and good morning, everyone. Before we dive in, I want to update everyone about our Investor Day. It will take place in May, and we'll get a specific date and location details to you as soon as they are finalized. We plan to provide an extension to our capital investment and growth plan, a detailed update on our generation transition and ESG profile as well as give you an opportunity to hear from the leaders of our businesses. I hope you will be able to attend, and I look forward to speaking with you. As Lloyd mentioned a few minutes ago, our 2021 earnings exceeded the top end of our guidance range of $1.32 to $1.36. We've also reaffirmed 2022 guidance of $1.42 to $1.48 and our long-term diluted NOEPS growth rates.  Looking at our full year 2021 results on Slide 4, we had non-GAAP net operating earnings of about $571 million or $1.37 per diluted share compared to non-GAAP net operating earnings of about $507 million or $1.32 per diluted share in 2020. The 2021 results reflect our ongoing execution of infrastructure investments and efficiencies resulting from our NiSource Next initiatives, offset somewhat by the sale of Columbia Gas of Massachusetts, which closed in October of 2020.  Taking a closer look at our segment non-GAAP results on Slide 5. Gas Distribution operating earnings were about $674 million for 2021, representing an increase of approximately $6 million versus last year. Operating revenues, net of the cost of energy and tracked expenses, were lower by approximately $94 million due to the sale of CMA. Other operating expenses were lower by approximately $100 million due to the sale of CMA and our NiSource Next initiatives.  In our Electric segment, non-GAAP operating earnings for 2021 were about $387 million, which was about $25 million higher than in 2020. Operating revenues, net of the cost of energy and track expenses, increased by approximately $24 million, due primarily to infrastructure investment programs and increased customer demand. And other operating expenses were essentially flat to 2020 levels.  Now turning to Slide 6. I'd like to briefly touch on our debt and credit profile. Our debt level as of December 31 was about $9.8 billion, of which about $9.2 billion of long-term debt. The weighted average maturity on our long-term debt was approximately 14 years, and the weighted average interest rate was approximately 3.7%.  At the end of the fourth quarter, we maintained net available liquidity of about $1.6 billion, consisting of cash and available capacity under our credit facility and our accounts receivable securitization programs. Last Friday, we successfully extended our revolving credit facility for another 5-year term. The new facility capacity remains at $1.85 billion with essentially the same borrowing terms.  We also continue our commitment to retaining our investment-grade credit ratings, and all 3 major rating agencies reaffirmed their ratings with stable outlooks in 2021. Taken together, this represents a solid financial foundation that will continue to support our long-term safety and infrastructure investments.  As you can see on Slide 7, we are reiterating our 2022 capital forecast of $2.4 billion to $2.7 billion.  Taking a quick look at Slide 8, which highlights our financing plan, there are no changes to our plan since April's equity unit issuance. I would highlight that this balanced financing plan continues to be consistent with all of our earnings growth and credit commitments.  Thank you all for participating today and for your ongoing interest in and support of NiSource. We're now ready to take your questions.
Operator: [Operator Instructions]. Your first question comes from the line of Julien Dumoulin-Smith with Bank of America.
Julien Dumoulin-Smith: Congratulations, Lloyd, again, on the latest opportunity for you. Can you perhaps give us some initial flavor by chance on what the strategy update might entail here? I know you made some comments already in the prepared remarks, but I know cost containment and reduction, admittedly has been top of mind for you, Lloyd. But wondering if you have any further thoughts you'd like to share at least at this point in terms of the process there in. I'm also cognizant that you stated in the prepared remarks that you still have this May time frame for an Analyst Day. But how are you thinking about this opportunity today and especially considering the inflationary backdrop that we've been talking with a lot of companies about?
Lloyd Yates: So thanks for your question, Julien. Let me start by saying, when you look at the current plan, I have a lot of confidence in the current plan. The current plan talks about 7% to 9% compound annual growth rate, and I think that's really good. Our strategic review is really going to take a hard look at how do we extend that plan past 2024.  So what does that mean? It means we want to look at everything. We're going to look hard at the portfolio, the current portfolio we have, and we want to look at the performance of that portfolio. Is that portfolio executing in a way that's providing -- is maximizing shareholder value? We're going to look at the content of that portfolio. Should we keep all of the LDCs or all the businesses we have? Should we buy some? Should we sell other businesses? But I think that's part of the view.  We're going to look hard at our cost structure and efficiency, productivity and some of our operational metrics. So we're just getting started on that. I think that we have a team, the Board will be involved, and that's moving forward, but a comprehensive look at the business.  And just to add a little bit to that, I think as a new CEO and on an ongoing basis, my plan is to constantly evaluate the NiSource portfolio to make sure we're maximizing shareholder value.
Julien Dumoulin-Smith: Excellent. And just if you can clarify that last comment, just in brief, what are the criteria here? How are you thinking about the merits? Or what kind of thresholds do we need to see in order to especially sell or divest other assets here and/or frankly, buy since you introduced them as well here, if you don't mind?
Lloyd Yates: I don't have the criteria established yet. A little bit too early for that. We are looking at the data points out there. We've seen the Dominion transaction. We've seen some of the other transactions. There will be data point that feed into our process. But I can't sit here and tell you I have the criteria established right now. I mean this is what my sixth day on the job. So I don't have all those things done yet, but we're working really hard on it.
Julien Dumoulin-Smith: Yes. Sorry, I don't mean to press you too much there. And just last little detail, if I can? Just on the solar projects here, I know that they're moving around a little bit because of the ongoing WRO policy backdrop. But no shift really in terms of meaningful earnings impact that you know of quite yet or more importantly, probably rate case timing, right?
Lloyd Yates: So not right now, but I'm going to turn it over to Shawn Anderson, maybe a little more detail on that.
Shawn Anderson: Yes. Thanks, Lloyd. Thanks for the question, Julien. You said it, it's premature to speculate how any potential the way might change the regulatory strategy here. And I know just as I did in my prepared remarks that we have not seen a delay yet that it's extended beyond the time line we initially planned for. So there's a lot that's going to play out here.  A couple of other considerations. Just to note, Indiana, as you probably already know, allows for a forward test year. We've utilized that historically for both our electric and gas cases in the past. So it has some precedent there. It also has some precedent for rate step implementations.  I think it's really important to remember that all of these projects have already received an approved CPCN. So while the timing might have some potential to flex we believe the need for these rate base additions is just really clear in terms of how they'll add value for our communities. So as you'd expect, we'll continue to be active, and we'll evaluate and monitor this and much more to come here in May or at the midpoint of 2022.
Operator: Your next question is from the line of Durgesh Chopra with Evercore ISI.
Durgesh Chopra: Just -- Lloyd, congratulations on your appointment.
Lloyd Yates: Thank you.
Durgesh Chopra: Just -- yes, sure. Just -- can you clarify for us on the Analyst Day in May, is that going to be extended through '28? Or do you have sort of a terminal year in mind that we're going to see your plans through?
Lloyd Yates: Yes, let me set expectations for our Analyst Day. I can't promise you on Analyst Day that our strategic review will be complete. I think that we'll have more clarity on where we are and what the plan looks like, but I want to dive in and understand the organization and the business a little better. We're talking about Analyst Day around the May time table. And I just don't believe we'll have the whole strategic review done by then. I think that's really fast.  So -- but I do think we'll have an idea of what the strategic review looks like and the time table for when will complete the strategic review by Analyst Day.
Durgesh Chopra: Got it. That's very helpful. So it won't to be complete, but you'll give us sort of the book ends of what the process might look like and kind of when that process might come to a conclusion. But just in terms of like the extension of the CapEx plans and EPS growth, what year should we be expecting to see this plan get extended to?
Lloyd Yates: Let me turn it over to Donald, a little more detail on Analyst Day.
Donald Brown: Yes. So thanks for the question. We are planning to extend the financial plan. If you think about that next IRP, the '21 IRP, we just filed last quarter. With the future retirement of Michigan City, we do want to take the plant out to at least the period of retiring that plant. So it would certainly be to 2027 or 2028, depending on what the outcome is there. And then certainly, we would provide an update on long-term strategy in the SG profile, as Lloyd has provided.
Operator: Your next question is from the line of Shar Pourreza with Guggenheim Partners.
Jamieson Ward: It's Jamieson Ward on for Shar. We were wondering if -- just to piggyback on the last couple of questions about the Analyst Day and then one on the Indiana RFP. So we've got the 2028 year there. When you think about the way that you currently guide and provide disclosures, we were curious if we might expect to see some changes there or if we should be expecting to see the same type of disclosures, but simply moved forward out to future years. Would you use this as an opportunity to change the way you got?
Donald Brown: It's something that we're exploring. We certainly want to look at the plan and how the plan comes out. We want to be able to communicate that in the most effective way for our shareholders. But if you still step back and you think about what drives our annual earnings, it's our annual CapEx programs and it's those trackers. That provides the predictability of our earnings growth and our cash flow growth.  And so that's always going to be the strong foundation of our long-term plan, but certainly want to make sure that as we look at the next phase of our plan. We're communicating that in a way that provides the most impact for shareholders to understand the long-term value of NiSource.
Jamieson Ward: Got it. And then on the Indiana IRP and the current RFP analysis, do you expect that you would have and include any amount of the $750 million of potential incremental CapEx there by the Analyst Day? Or would that be something that you'd be updating post Analyst Day?
Donald Brown: Yes. That is our intention that, that next tranche of potential investment would be included in that financial plan at that time. So if you think about current last Analyst Day, we provided a range of the potential investment, and I'd expect would be in that same place in May.
Operator: Your next question comes from the line of Travis Miller with Morningstar.
Travis Miller: I was wondering, on the Indiana electric rate case, is there anything specific that has to happen either in your eyes or just administratively before you could file that later this year?
Lloyd Yates: Pablo, do you want to handle that one?
Pablo Vegas: Yes. Thanks for the question. No, I mean, I think we're set up in terms of the timing. What we're looking at right now is making sure that all the planned investments around the renewables that are going to be getting developed over the course of this year and next year and the timing issues we've talked about related to that are all going to line up with the expected in-service dates that we need in order to support that rate case.  All of the core approvals, the certificates for public convenience and necessity, the CPCNs, those have all been approved in advance. And so the prudence of these investments that we're going to do are essentially have been supported. So now it's just making sure that the timing of the projects aligns with the timing of the rate case and the windows for that rate case and that will be the driver, but everything is lined up for that for the second half of this year.
Travis Miller: Okay. And then just real quick on that. It would be more the capital side of it than, say, anything that happened with operating expense, is that the idea that, that would be the biggest factor in terms of rate increase or whatever, right?
Pablo Vegas: Yes, that's right. It would be the CapEx associated with the renewable projects and when that would go in service and be considered using useful for the purpose of the rate case.
Travis Miller: Perfect. Okay. Great. And then Lloyd, you obviously mentioned the portfolio review. If you were to make any kind of changes, particularly so, what would be the use of capital for that? And thinking particularly potential equity to fund either the electric side or some other initiatives, can you take me through your thought process in terms of how you use any kind of capital, incremental capital?
Lloyd Yates: I think there are a couple of ways to think about that. One is if you were to sell off some pieces of the portfolio, that would eliminate the need for equity in the future. So that's a possibility. There's also a possibility that if you're selling a piece of the portfolio or you could find some other attractive investments to make and whether it's in capital programs for Your Energy, Your Future on the ESG side or whether there are some attractive properties that we may want to purchase. So I think I don't want to speculate on that. But I think what we're trying to do is make the best use if we sell something, the best efficient use of that capital to add shareholder value.
Operator: Your next question is from Richard Sunderland with JPMorgan.
Richard Sunderland: Maybe just starting with Ohio, any sense on the near-term pace of the proceeding? Just really curious if you're seeing anything on the ground here?
Lloyd Yates: I don't know that Pablo handles the detail. I think Ohio is moving along at a what I'll call a reasonable pace. We don't have any concerns with Ohio, but it's just taking time. And Pablo, you want to give a little more detail if...
Nick Drew: Yes, happy to. Thanks, Richard. There's a lot on the docket at the PUCO right now. There's a DP&L case that is going to hearing. You've got a Duke electric case that is out there and is still in the discovery phase. And it's been a while since Columbia Gas of Ohio has filed the rate case. I'll say that about half or a little more than half of our total costs have already flowed through extensive reviews in our tracker programs, that we have over the last decade or so.  And so we're not expecting any issues or problems. The rate case is going fine. The next step is going to be to get the staff report. We expect to see that hopefully sometime in the next several weeks to a couple of months, and we're still projecting an overall rate case timing of concluding sometime in the middle of the year. But it's moving forward, as Lloyd said, as we would expect, and no concerns on our part there.
Richard Sunderland: Understood. Maybe just one other one. What are the regulatory requirements with delivering the 2018 IRP projects? Curious if you see kind of supply chain risks within that context?
Lloyd Yates: Shawn.
Shawn Anderson: I'm sorry. Could you just repeat that the phone cut out right when you asked that question?
Richard Sunderland: Apologies. Just the regulatory requirements with delivering the 2018 IRP projects and how you see supply chain risks specifically in that context?
Shawn Anderson: So the 2018 projects have all been approved from a CPCN standpoint. So that's the first step in the process. Well, there's a number of steps to process. That's the first real regulatory step that you've got to cross through that demonstrates the prudence.  In terms of the projects themselves, then they need to be executed. It's a process, of course, through the supply chain process to get the materials on site and then to construct the facilities, that could take 6 to 12 months, depending upon the size of the facility and where it's being constructed. That's where the remaining projects are outside the 3 that are operational, are in the construction phase or to-be-constructed phase and the project teams currently working with the developers to then stand those projects up. Right now, the schedule for the projects remains with 4 more projects to be COD or operational this year and then the remainder of the projects in 2023. That would all take you through construction.  And then as we've already sort of highlighted here on a rate case standpoint, you'll file a rate case and do a forward-look test year that moves through that in-service date to then pick up those investments as part of your regulatory requirement and your CapEx additions.
Richard Sunderland: Got it. So just to be clear, it's really around timing of the rate case as we discussed earlier in terms of required delivery dates or other obligations coming out of the CPCN process, not so much to watch here. Is that fair?
Shawn Anderson: Yes, that's exactly right. And we'll step through each project individually. There's multiple steps through that in terms of getting those constructed, bringing materials on site, et cetera. So we'll step through each of those projects and then sweep all those investments into the rate case and proceed accordingly.
Operator: Your next question is from the line of Ryan Levine with Citi.
Ryan Levine: A question for Lloyd. What are your priorities in the first 100 days as CEO? And more specifically, what work processes, streams are underway to evaluate the business operations as part of this broader business review?
Lloyd Yates: So I mean a couple of things that we're going to continue on. One is NiSource Next. We've taken some cost out of the business over the last couple of years with operational efficiencies. So we're going to kind of ramp up the next phase of NiSource Next.  I think as part of the strategic review process, we have an initiative called Your Energy, Your Future. When you look at that, that's retirement of the coal plants by 2028, what's the next phase of that, especially focused on the gas distribution system.  I think decarbonizing the gas distribution system is good for the customers, and I think it will present an opportunity for the company to make investments. So we're looking hard at that. And then as I mentioned earlier, continue to look hard at the portfolio. So those are probably the 3 focus areas.
Ryan Levine: And as you do this business review, should we look for some higher near-term costs to help evaluate these different options? And is the company doing this business review completely internally? Or is there more reliance on third-party consultants?
Lloyd Yates: Yes. I think the cost efficiencies that we know about today are in the current guidance. So when you look at our targets for next year and in the following year, the 7% to 9%, we have cost efficiencies built into those. We want to look harder to try and drive a little more. But right now, I mean those are the guidance numbers we have, and I have a lot of confidence in us hitting those numbers.
Ryan Levine: Okay. And then last question for me is, more specific on the quarter, what was the driver of some of the O&M cost declines in the electric business? And what drove some of the higher costs around O&M in the gas business?
Donald Brown: Yes. When you look at the electric business, part of the cost decrease is related to shutdown of our coal plants, 2 of our Schahfer units that retired in 2021. And then on the gas business, it's continued spend an investment in our safety and SMS program. So we'll continue to see that over the next couple of years. But the objective of NiSource Next is to help mitigate the inflation that we see every year so that we can afford to continue to invest in safety and reliability.
Operator: Your next question is from the line of Insoo Kim with Goldman Sachs.
Insoo Kim: My question, and it was more on the O&M side, but to piggyback up to your guys' comments on the higher gas O&M related to SMS. And my question was going to be kind of, have you hit a pretty good run rate in terms of the spending on the SMS side for safety and reliability purposes? Or are we seeing that continue to trend up over the years?  And Lloyd, you've talked about cost management as one of your key priorities as well. So other than this type of spend, which is definitely very important, I think, for the company, what are some other general areas of cost efficiencies that we should be looking out for?
Lloyd Yates: So let me start with SMS because I do -- I didn't mention it. So we are committed to continue with SMS. I think in this business, when I think about SMS, I think about operational excellence, I think that's table stakes in this business. We have to operate well and we have to continue to invest in those programs.  On the other hand, we're going to control the cost in those programs. We want to make sure that we invest effectively. And as a result of those programs, I think over time, you should get cost efficiencies out of them. So the cost ramps up a little bit, but as the people who operate get used to the new ways of doing business, you should gain efficiencies out of that.  And again, other issues -- not issues but in our guidance, we'll continue to look at corporate services, just like most companies, we're looking at productivity and any other cost that we spend in the business, making sure that those costs are aligned with other high-performing organizations.
Insoo Kim: Understood. My only other question is, I think this is the second quarter that you've reiterated that 7% to 9%, but off technically a higher base and this time off of the actual 2021 results. So as we go forward, I guess, in future years, is that something that we should think about as something that you will do going forward and kind of guiding off of achievements on an annual basis -- on an actual basis?
Donald Brown: Yes, I'd say it's too early for me to provide guidance on next year's results. And so give us some time. But again, I'll go back to the core drivers of our earnings. It's the annual CapEx programs, and that's really what provides that clarity and consistency of earnings and allows us to guide off of last year's earnings and an update off of that.  But I won't guide for 2023 yet. But certainly, I expect that we'll -- we've got confidence that we'll be in that 7% to 9% range off of 30 -- off of 2021.
Operator: Your next question is from the line of Nicholas Campanella with Credit Suisse.
Nicholas Campanella: Just in terms of the strategic review comments and thinking about portfolio rotation, I recall when you sold the Massachusetts assets, you did have some dissynergies due to cost allocation model from the parent down to the OpCos. And I'm just curious if that hurdle exists kind of across the entire portfolio? And how we should kind of be thinking about that, if you are considering potentially rotating capital here?
Lloyd Yates: So I think that hurdle is going to exist across the portfolio. When you rotate something out, you got to deal with the dissynergies. I think that we're here and we need to manage those. We decide to rotate something off the portfolio, we have to consider that in the math, but we also have to consider the fact that you can -- dissynergies can be managed, and that will be a part of our strategic review process as we think about that. But we believe they can be managed.
Nicholas Campanella: Got it. And then just one for Donald on the 7% to 9% CAGR and just like the relevant puts and takes. You guys issued the equity units last spring and share count in the outer years can kind of move around depending on where those are remarketed. Does your updated 7% to 9% CAGR kind of take into account the increase in share price that we've seen since then?
Donald Brown: It does. We're always paying attention to and updating our model for share price and share count that is in our guidance right now. But again, we want to make sure that we've got some cushion as share price moves around that we're not moving outside of our guidance. So we're confident where we are and certainly recognize the appreciation in the stock price over the last 1.5 years.
Operator: Your next question is from the line of Steve Fleishman with Wolfe Research.
Steven Fleishman: So Lloyd, just high level curious on the -- you've been around both now -- NiSource on the Board and at Electric Utilities over time. And curious if you have a view on kind of the mix between electric and gas? And is that an important aspect as part of your strategic review?
Lloyd Yates: I think it is, Steve. I think as we look at the strategic review, some of the companies that are receiving higher multiples have a higher mix of electric than gas, and I think we have to consider that as part of our strategic evaluation. And does that make sense? And is there -- are there opportunities to shift to more electric versus gas? I don't think we need to be out of gas. I think in the states that we operate in, gas is very valuable. It may not be popular, but it's valuable. So I think as we look at this portfolio, we have to consider all those options, but also consider where we operate.
Steven Fleishman: Great. That's helpful. And then just -- I just wanted to follow up on the renewables projects because I just wanted to clarify maybe, I guess, with Shawn, just, are these projects all on schedule as of now? Or -- and just -- it sounded like they are on schedule, but then you're having to monitor everything. So I guess I just want to clarify just where things stand? And my recollection is you had pretty strong contract terms in the event that anything was delayed. So just could you remind us how you're protected there, if at all?
Shawn Anderson: Yes. Thanks, Steve. Appreciate the question. So all projects are currently scheduled to be in service by the end of 2023. That's the critical window. So we have the benefit of the remainder of the calendar for 2022 and 2023 for each project, which is at a different stage in its life cycle to work through what's necessary to get it into service by the end of 2023.  But that does require some active monitoring in terms of the partnership agreement, the developers themselves. They're all sophisticated top-tier developers. This is their critical core competency when you think of names like NextEra, EDPR and Vetergy. So there's diversity and that was intentional across the developers themselves so as not to have concentration risk around 1 developer, and we're working very closely with those developers as they continue to move through the process. But everything remains with a projected 2023 COD, and that's the critical date for us to watch.  And then in terms of contractual protections, each agreement is a little bit unique. But to your point, there are provisions to provide, NIPSCO capacity as it relates to the agreements. There's different levels of indemnity protection and flexibility in terms of even component suppliers when you start to get into the weeds of the agreements, each one is unique. But the important point for customers is that the energy is contracted at that price, that protects our customers, that's an important part of this. And that's what we're seeking for with all 14 of these projects.
Operator: Your next question is from the line of James Thalacker with BMO Capital Markets.
James Thalacker: Lloyd, just I guess circling back to your comments on the strategic review, I know you're just beginning the process, but it sounds like you're casting a fairly wide net, both in looking at both buying and selling assets. So going back to kind of Steve's question, is this kind of the initial scope is to kind of cast it wide and see what kind of falls out of that process? Or as part of the strategic review also looking at maybe even a more in-depth sort of view of how to sort of change the business profile, to your point, on the differences between the public market valuations on gas versus electric?
Lloyd Yates: Yes. So thanks for the question. And I think you're right. The goal here is to cast the net wide, to start broad and then kind of zoom back in. We're going to look at everything. And we're going to look at everything. So we're going to start wide cast back in, and we're going to take a hard look at everything. I think I've said it or I don't want to repeat myself, but we look at the portfolio, operational efficiencies, rotation, mix of electric versus gas, but everything is on the table is the point.
James Thalacker: Right. And then I guess the other question, and it's going -- and also's, I think Julien asked the question, too. But I know you -- and again, I realize you're 6 days on the job and we're starting this process. But when you kind of look at monetizations or even acquisitions, I'm assuming that there's probably some guideposts, whether it be credit accretion or maintenance of credit or EPS accretive. Do you see from your previous vantage point, a lot of opportunities to maybe go on the offensive and shift that mix through accretive acquisitions? Because in general, it seems like there's not a lot of really good values out there in the utility, especially when you go into a sort of a private market auction or even a competitive auction bid.
Lloyd Yates: Well, I think we're going to be -- if we buy, we're going to look for value. I mean, you got to say that. Our job is to create shareholder value, and we're going to look for accretive acquisitions if we purchase. If we sell, we want to try to get as much as we can for any asset that we have. And I think that's the challenge in the strategic evaluation. And everybody wants to accomplish the same objective, right, buy low, sell high.  So if we're in that game, I think how you look at those things and how you do that in your strategic, your criteria is going to be really important. But everything we do, I mean, is to gain shareholder value, which means we're going to try to get as many accretive -- we'll try to make everything accretive, but we also want to protect credit quality. And you got to pay attention to the balance sheet. So we get all those things, and we're going to get after it.
Operator: There are no further questions at this time. I will now turn the call back over to the CEO, Mr. Lloyd Yates.
Lloyd Yates: So first of all, thank you for your questions. And I want to close by just to reiterate just a few key takeaways. Our 2021 earnings of $1.37 per share exceeded the top end of our guidance range. Number two, we're reaffirming our guidance for 2022, $1.42 to $1.48 per share, and our long-term growth commitments are reaffirmed as well.  Number three, we continue to evaluate NIPSCO's portion of the investment needed to replace the retiring coal-fired generation outlined in the preferred plan from the 2021 IRP. Four, our strong regulatory execution continues, further illustrated by -- we've got some late breaking news last night that NIPSCO reached the settlement principle in the gas rate case, but details to follow there. So I mean our regulatory team is really executing strong. And as Donald mentioned, we look forward to presenting the next phase of our strategy and financial plan at our Investor Day in May, where we will kind of give an update on where we're moving with our broad strategic review.  So thank you for your comments, and we appreciate you joining us this morning, and please stay safe. Thank you.
Operator: Ladies and gentlemen, thank you for your participation. This concludes today's conference call. You may now disconnect.